Operator: Good day, ladies and gentlemen, and welcome to the Armstrong World Industries Fourth Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] And as a reminder, this conference call is being recorded. I would now like to turn the conference over to Tom Waters, Vice President, Treasurer and Investor Relations. Please begin.
Tom Waters: Thanks, Latoya. Good morning and welcome. Please note that members of the media have been invited to listen to this call and the call is being broadcast live on our Web site at armstrong.com. With me today are Matt Espe, our President and CEO; Dave Schulz, our CFO, Don Maier, CEO of our Worldwide Floor Businesses and Vic Grizzle, CEO of our Worldwide Ceilings Business. Hopefully, you have seen our press release this morning and both the release and the presentation Dave Schulz will reference during this call are posted on our website in the Investor Relations section. I advise you that during this call we will be making forward-looking statements that involve risks and uncertainties. Actual outcomes may differ materially from those expected or implied. For a more detailed discussion of the risks and uncertainties that may affect Armstrong, please review our SEC filings, including the 10-K filed this morning. Forward-looking statements speak only as of the date they are made and we undertake no obligation to update any forward-looking statement beyond what is required by applicable securities law. In addition, our discussion of operating performance will include non-GAAP financial measures within the meaning of SEC Regulation G. A reconciliation of these measures with the most directly comparable GAAP measures is included in the press release and in the appendix of the presentation. Both are available on our website. With that, I'll turn the call over to Matt.
Matt Espe: Thanks, Tom. Good morning, everyone on the call. Today I want to briefly discuss our fourth quarter results, provide an overview of our market outlook for 2016 and discuss actions and expectations in light of the macro environment then finally I’ll update you on our separation process and then some key upcoming dates and activities. For the quarter, sales of $577 million were down $10 million or 2% due to weaker year-on-year foreign exchange rates. Adjusting foreign exchange rate sales were up 2% from prior year with all the gain coming in the Americas. The sales result is essentially in line with the guidance we issued last quarter. Adjusted EBITDA for the quarter was $76 million compares to $81 million last year, and for the full year at the top end of our guidance range. The ceilings business posted sales growth of 1% excluding the impact of exchange rate and had an adjusted EBITDA improvement of 2%. In the Americas, sales were up 2.5% with gains in volume, price and mix. EBITDA benefited from year-on-year price versus inflation gains remaining at historical level as well as significant productivity gains and profits from WAVE which were up almost 20% from last year. SG&A cost were higher as we invested in go-to-market initiatives. In Europe sales were flat on a comparable foreign exchange basis but down 14% as reported. Europe had pockets of strength particularly in the UK, but continued weakness in Russia and the Middle East. Continental Europe flat in total but with volatility from market-to-market. European profitability was up marginally year-on-year. In the Pacific Rim sales were down 4% excluding the impact of foreign exchange with particular weakness in China. Southeast Asia was up 20%, Australia and India were up low single-digits. India finished a very strong year with sales up in the mid-teens. India was our largest market for ceiling sales in the Pacific Rim in 2015. Despite the sales decline Pacific Rim adjusted EBITDA was up more than 50%, over $4 million in the quarter. Flooring business saw a sales growth of 3% excluding the impact of foreign exchange with strong volume gains being partially offset by price decline. Flooring adjusted EBITDA was up 9% in the quarter with the benefits of lower input cost offset by SG&A investments and startup cost of Lancaster and Summerset. For the quarter the North American resilient business saw sales growth of 3% on a comparable dollar basis but as expected profitability was down as our SG&A investments in Lancaster startup cost continued in the quarter. Our wood business grew sales by 3% in the quarter excluding foreign exchange with volume gains offset by modest price reductions and slightly negative mix. I'm pleased to report that our Summerset plan is now producing the volume and breath of product that we've been targeting, allowing us to grow engineered wood volumes by 20% versus last year. Adjusted EBITDA on the wood segment was up $16 million versus last year's loss of $4 million. Resilient sales in the Pacific Rim were up 5% on a comparable foreign exchange basis with a slight improvement in adjusted EBITDA. I'll now want to shift to our outlook for the 2016 operating environment. We expect ceilings market conditions in Europe and China to continue to challenging environment, we experienced last year, as a result of this we've taken steps to adjust our cost position in these regions. We've just announced that we'll be idling one of our Chinese plant until such time as market demand improves. We've reduced China SG&A headcount by 20% and increased our focus on the balance [ph] in the region. In Europe we've made a change in leadership and also initiated SG&A reduction. Given the mixed region of our performance we're experiencing Continental Europe, we're redeploying sales and marketing resources within the region to focus on the best opportunities for grow. We anticipate the Pacific Rim flooring specific market opportunities to be up low single-digit in 2016. In the Americas we feel more sanguine about the 2016 market opportunity and our ability to grow sales and profitability for both of our businesses. We continue to expect tailwinds from new construction activity and anticipate that commercial, repair and remodel activity will improve modestly in 2016. This backdrop coupled with sequential improvements we’ve seen in the past few quarters has us feeling more confident than at this time last year. We anticipate the commercial markets in the Americas will improve low single-digits for the year. Turning now to the separation process. We continue to meet all the important internal and external deadlines and are on track to complete the transaction on April 1st. We received approval to apply the list of the flooring company on the New York Stock Exchange and have reserved AFI as a ticker symbol. We expect to file our final Form-10 in the coming weeks and once we have SEC approval we’ll be in a position to execute. We’ll be hosting a separation of business update meeting for investors on March 10th where Don and Vic will outline their views of the business, review their forward-looking strategies and provide guidance for 2016. The event will be webcast. We anticipate when [indiscernible] trading will begin in late March followed by regular WAVE trading in early April. At that time holders on AWI shares will receive one share of AFI for every two shares of AWI. This has been a significant undertaking by all our corporate departments and the senior leadership team. I want to commend them for their efforts. I also want to commend our operational teams who have not allowed this process to distract them from producing, innovating, selling and delivering a 2015 EBITDA result at the high end of our initial guidance range. With that said, I’ll turn it over to Dave for a more detailed review of our financial results including a discussion of the full year 2015 results. Dave?
Dave Schulz: Thanks Matt and good morning everyone. In reviewing our fourth quarter results, I’ll be referring to the slides available on our Web site starting with Slide 4, key metrics. As Tom already covered Slide 2 and Slide 3 as an explanation of our standard basis of presentation. Matt already discussed sales and EBITDA for the quarter, so I will note that the EPS is down 34% impacted by $0.08 a share due to a $7 million non-cash charge and other income related to the revaluation of the intercompany loans we have in place to fund our Russian and Chinese investments. As you may remember, we had a larger charge related to these loans last quarter. Net debt is down almost $100 million for the last year as a result of our operational cash generation. Return on invested capital was down due to lower as reported profitability in the trailing 12 months including higher non-cash pension expense and separation costs. Slide 5 details the adjustments we have made to our results and provides a reconciliation to as reported net income. We continue to exclude the non-cash pension expense associated with our main U.S. plan. We incurred $18 million of separation related expenses in the quarter, and I’ll give you more details on those items at the end of my discussion. The $8 million in cost reduction initiatives relates to the actions Matt discussed in China and Europe. Last year we had a $10 million impairment of the Bruce brand name. Taxes in the quarter were $1 million on a small pre-tax loss. For the year, our effective tax rate was 57.5% as we continue to have significant un-benefited foreign losses. And our pre-tax earnings denominator was impacted by the separation cost and increased SG&A spending. Slide 6 provides an overview of our segment level results. I’ll cover the business unit results on the next slides, but I will point out that corporate spending was up $9 million versus last year. This was driven by several factors; including a $4 million environment charge related to our Macon, Georgia facility. Higher expense was also driven by the timing of IT spend and higher year-on-year incentive payments. Page 7 lays out the results for our ceilings business. Matt mentioned the positive volume, price and mix in the Americas which was the key driver of global sales growth. European sales were flat with good pricing and mix performance offset by declining volumes and weak currencies, especially in Russia. The Pacific Rim was down due to China as sales throughout the rest of the region were up. Americas sales, input costs, manufacturing productivity and earnings from WAVE more than offset increased SG&A investments primarily in the Americas and drove adjusted EBITDA higher by $2 million. Page 8 addresses fourth quarter resilient segment results. Volumes and mix gains in the Americas and higher sales in the Pacific Rim offset price declines in the Americas leading to a 4% increase in sales. We had particularly strong sales in the residential tile and commercial LVT categories. Adjusted EBITDA was down $14 million as we continue to invest in our go to market initiatives and restore our presence at retail. Continued favorable input costs were offset by startup cost at our LVT plant. Page 9 illustrates our Wood segment, mid-single digit volume growth driven by engineered products was only partially offset by lower pricing in mix. Mix was lower in the quarter as we sold off a backlog of off goods and does not represent a deviation from our strategic focus on higher end products. While lumber cost stabilized in the quarter, we continued to see significant year-on-year favorability and we are pleased with the improved profitability in this segment. Slide 10 provides a bridge of the entire Company’s results for the quarter. Our yearlong theme of lower input cost being offset by SG&A investments continues. Free cash flow for the quarter is presented on Slide 11 and you can see that lower cash earnings in the quarter including the impact of separation expenses drove cash flow down. Gains in working capital in the quarter were offset by the non-recurrence of a onetime foreign exchange hedge gain in 2014. Slide 12 provides a full year view of our key financial metrics. Sales are flat as volume declines in wood and ceilings Europe and price declines in Americas flooring were offset by continued global price and mix gains in the ceilings business, volume recovery in North American resilient and improved mix in the wood business. For the full year profitability was flat as lower input costs were offset by our strategic SG&A investments and manufacturing expenses in Russia and Lancashire. EPS was lower by $0.13. EPS was impacted $0.23 per share by $21 million non-cash revaluation of the loans we have in place to fund our Russian and Chinese investments. Free cash flow was up year on year primarily due to lower capital expenditures. Slide 13 provides a view of the sales and EBITDA for the year by segment. Resilient foreign grew sales on the back of volume strength in LVT and VCT, but profitability was lower as we increased SG&A spending in the segment by over $30 million. Wood flooring sales declined as production issues in Somerset constrained output for the first three quarters of the year. Price was down modestly in the face of substantial declines in lumber costs. Mix was positive. Adjusted EBITDA in the segment recovered almost 90% as only modest price concessions were needed in the face of lower lumber costs and mix gains fell to the bottom line. For the year ceiling sales grew 1% as price and mix gains were partially offset by volume declines. Price gains, manufacturing productivity and lower input costs offset higher fixed cost driven by the Russia plant and higher SG&A spending globally. Full year corporate spending was up modestly, largely due to the environmental reserve I mentioned earlier. The full year total company bridge on Page 14 is very similar to the story for the quarter. Lower input cost largely offset a $53 million increase in SG&A. 35 million of the increased spending was in the flooring businesses. Page 15 illustrates the annual change in free cash flow. Lower cash earnings were offset by working capital improvements and lower capital spending as we concluded most of our international investment spending in 2014. Weighted dividends were down modestly year on year just on several tactical acquisitions in 2015. Page 16 is an update on our separation expenses and cash flow. As you can see in 2015 we incurred $34 million of expenses and spent $9 million on capital to advance the separation. Both of those figures represent exactly half of the total cost we expect once the project is complete. Cash flow is skewed into 2016 as many of the 2015 expenses were accrued. The expenses are primarily for consulting and legal advice as well as retention and severance payments. The capital spending is almost entirely IT related. We've made progress on financing arrangements for both companies and anticipate closing on a $1.05 billion credit agreement for AWI and a $225 million asset backed loan for the flooring business contemporaneously with the completion of the spin. We have also reached a decision on the US pension plan and anticipate transferring about $360 million of pension liabilities to the flooring business. The assets to be transferred along with this liability will be determined based on a list of guidelines as of the separation date. Given the well-funded nature of the current plan we are confident that future flooring plan will not require cash contribution in the near term. Finally it has been our practice to provide earnings guidance as part of our fourth quarter call, however given the separation and business update meetings that Matt mentioned would be held on March 10th, we will not be providing 2016 guidance until that time. With that I'll turn the call back to Matt.
Matt Espe: Thanks Dave. As I reflect back on the last five years, I feel privileged to have served as CEO of a company with such a distinguished legacy, outstanding corporate culture and commitment to excellence. I'm proud of the steps we've taken to strengthen the company and to create the foundation for two successful independent entities. Over the past five years we've upgraded the senior management team and reinvigorated the entire organization with our succession planning efforts. We've exited underperforming businesses in flooring Europe and cabinets. Created an efficient capital structure and introduced lean principles to drive efficiency and working capital improvement. We've invested in important future growth engines in Russia, China, LVT and architectural specialties and we've returned $1.5 billion to shareholders. So I leave here knowing that Armstrong World Industries and the future Armstrong flooring companies are in very capable hands. I look forward to watching these two businesses grow and flourish in the years to come. So with that thank you and we will be happy to take your questions.
Operator: Thank you, [Operator Instructions] the first question is from Mike Wood of Macquarie Security Group, your line is open.
Mike Wood: In light of the CDC update on Lumber Liquidators last night which highlighted that increased cancer risk. Perhaps it'd be useful for you to just update us on your internal processes and how you're different in your own Chinese made resilient [ph] flooring, could you cease investors’ fears about any risk to Armstrong's flooring?
Matt Espe: Absolutely. Don, you want to comment?
Don Maier: Yes, thanks Mike. Really, we discussed this in detail in our Q3 earnings call and our position really remains unchanged since that discussion. Really since it's really brought back in I guess it was last March we expanded our already comprehensive testing program to ensure that Armstrong products meet or exceed all applicable industry standards. Since June we received results on hundreds of independent raw core and core deconstruction tests. And based on these tests and our strict certification and specification requirements, we continue to remain confident that our laminate flooring products are safe and meet or exceed all applicable standards just as they always have Mike.
Mike Wood: Understood and on the hardwood side, I guess you got your operating margins over the past two quarters back to that level that you were before the input cost really had a hit. Going forward here would you expect pricing to become more challenging in that segment and more ranges on margins? Did you still see upside from the repositioning that you’ve done?
Don Maier: Yes, so clearly we've benefited over the course of the year with the reduced input cost and that has improved our performance for 2015. I think it would be advisable not to extend or extrapolate that forward into 2016. We've been able to hold on to a lot of that through our pricing discipline. But over the long term, you do see downward pressure as it relates to the sustained lower lumber cost.
Operator: Thank you. And we do ask that you limit yourself to one question and get back in queue for a follow up. The next question is from Kathryn Thompson of Thompson Research Group. Your line is open. 
Kathryn Thompson: On ceilings, 2.5% sales increased in Americas, you had 4 million contribution from price mix for the whole segment, how much that 4 million was to the Americas and then further breaking down how much was price mix and then just a follow up from the previous question if you could just remind us what percentage of sales -- laminate sales are all of your total flooring revenue? Thank you.
Matt Espe: Vic, do you want to answer the first question and Don can take second.
Vic Grizzle: This is Vic. Yes, on the Americas in that fourth quarter we had positive AUVs supported by pricing mix and we also have positive volume that supported that 2% plus growth rate. As far as the split between the price and the mix we don't normally provide that level of granularity, I'd just say that it was nearly, equally contributing from both price and mix in the quarter and again I want to emphasize that also there's a nice volume that was supported that 2.5%.
Don Maier: This is Don Maier. Our laminate business is fairly small, it's less than 5% of our total revenue. 
Operator: Thank you. And the next question is from Matt McCall with BB&T Capital Market. Your line is open. 
Reuben Garner: This is Reuben Garner in for Matt. So, several one-time item, both positive and negative in the foreign business this year, can you -- and I know you're not giving guidance but can you just talk about your general expectations for profitability into '16 and maybe some of the moving parts going away just give us some quick recap. Thank you.
Matt Espe: I think, what we're going to do is, we’ll leave the 2016 guidance for Don’s Investor Day. So, we're not giving -- again that's all a change from our custom, but taking advantage of these guys are having their individual sessions in the couple of weeks, we've decided not to issue individual or collected guidance today, I don't know Dave, if you want to comment on any of the one-timers?
Dave Schulz: Yes, the one that I'll comment on usually, we've discussed this in the past as the multilayer wood flooring. So we didn't provide you with a reconciliation of that impact during 2015 that was primarily triggered by our previous practice of importing engineered wood products from China from our manufacturing facility there, we have closed that facility so our exposure to that multilayer wood flooring import duty going forward is minimized dramatically. 
Operator: Thank you. And the next question is from Scott Rednor of Zelman & Associates. Your line is now open.
Scott Rednor: This question is for Vic or for Matt on SG&A side of ceiling, there was a $5 million headwind for go-to-market initiatives, I was hoping you guys could further dive into that and then is that something that we should think about reversing into 2016?
Matt Espe: Thanks Scott. Vic?
Vic Grizzle: That $5 million had three components to it, to our private [technical difficulty], number one the timing of the expenses around the new launches that we talked about total fish-stick [ph] launch in the late third quarter disproportionately fell into the fourth quarter that was a good portion of it. We also make some partial -- that was from partially some timing here around some investments and U.S. commercial capacity to support those new product launches. And then the final and small component of it was some expenses related to our change in our European leadership, and those were the three major components that drove the $5 million in incremental SG&A.
Operator: Thank you. And the next question is from Ken Zener of KeyBanc. Your line is open.
Ken Zener: Following up on that last question, I think the higher SG&A in ceilings has -- just a bit clear that’s a $5 million on Slide 7. If you could just go into that, like what that means for the acoustic launch or the commercial capacity that you’re extending, how that’s impacting the SG&A? Because I think people are sensitive to the fact that there is rising pressure that’s offsetting your price mix. So if you could go into that and explain why that’s not related to any change in the industry structure [indiscernible], whoever that would be certainly appreciate it because that’s kind of a lingering thought in people’s mind. Thank you.
Dave Schulz: Good question Ken. Let me say this for clarity upfront because maybe this is part of the question. There is no price discounting in the SG&A line. We don’t account for price discounts that way, it’s above the line in our net sales numbers, so to clarify that point first. The investments in our U.S. commercial capacity are incremental investments in key areas that are driving our specification leadership around these new total acoustic products that we talked about in the third quarter. It’s also in support of our design capabilities around architectural specialties, both at the high end of the market, the fastest growing part of the market and these resources are supporting those growth initiatives as we’ve talked about in the past.
Operator: Thank you. And the next question is from Bob Wetenhall of RBC Capital Markets. Your line is open.
Bob Wetenhall: Thanks for taking the question. And Matt good luck on what you do after Armstrong, it's been a fun run, and you did a great job with the Company. Just wanted to ask in ceilings, said low single-digit growth. And I am trying to think about this and any help would be appreciated. I am not looking for guidance. Between North America, EMEA and Pacific Rim, what are your expectations for volume trends? And I think you guys have mentioned there were some negative pricing action at the low end of the product category, that’s showed up in the second quarter. And one of your competitors actually reported earlier and said ceiling tile pricing is accelerating year-over-year. How do we think about North American pricing environment both for entry level and more architectural specked tiles? Thanks a lot and good luck.
Vic Grizzle: Okay, two parts here. Let me take the first part. Bob on terms of our -- the way we’re looking at the market overall. I think the way Matt described in the opening comments is, with EMEA and Asia we saw tough market conditions in both of those regions in 2015 and we think that’s going to continue. And that’s really driven by the emerging market portions of those regions. The Middle East is very soft. Russia continues to be very soft based on the very public issues going on there. And then in Asia, China being a very-very soft market as the government cracks down on office and office -- commercial office development there. So we think that’s going to continue through 2016 and that’s the remarks that Matt and Dave, described for you. In North America, as we’ve been talking about on last couple of calls, we’ve seen sequential improvements in really the new office construction segment as we saw the growth in late 2013 and 2014 and new construction starts. And as you remember, in this business, ceilings are the final thing that go into a new construction build-out. As those new starts lag out, we started to see new construction, new business start to show up in our numbers in the second half of 2015. So we saw that in fourth quarter that sequential improvement and based on the new construction starts that continued into early parts -- late parts of ’14 and early parts of ’15, our expectation is that those new construction -- new business activity continues into 2016. And that leads us to the outlook that again Matt and Dave described, which is low single digit growth really being driven by that new office, new construction and the office segment particularly. That’s your first question, your second question was around the pricing environment. Again I’ll point to our third quarter performance and then again our fourth quarter performance in pricing. We had again positive net AUVs on both of the quarters. Again, in any quarter or in any part of this market, we have pieces of business that are Armstrong advantaged where we get the specification and very unique solutions Armstrong and those are less price sensitive. And then there is parts of the market that are less advantaged and are more price sensitive and those are the ones where we have to be competitive and we fight every day on those pieces of business. This environment has not changed and it continues to be that way, it was that way in the third quarter, it was that way in the fourth quarter and we continue and we'll expect that to continue going forward. So I think we're continuing to focus on making sure that we're driving price over inflation and I will just call your attention to in 2015 our margin dollar contribution from pricing above inflation was up over 50%. So in a -- and more we talked about pricing environment, we continue to be successful in driving good price over inflation and margin expansion through the period.
Operator: Thank you, the next question is from James Armstrong of Vertical Research Partners, your line is open.
James Armstrong: Just as we go into the first quarter, you talked about costs coming down in wood flooring. Do you see any further price erosion in the wood flooring segment as lumber remains down or are you really able to keep that pricing and seeing a more steady price environment with flooring?
Don Maier: James, this is Don, I'll try to address that without getting too far in front of my skis here. The -- what we are seeing is a leveling off in the lumber prices and we've obviously been able to hold quite a bit of our price in the wood business over the course of 2015. Our experience is that over time the lumber cost eventually translate into lower wood flooring prices. We remain committed to maintaining our price discipline that we've put in place while staying very competitive in the market place.
Operator: Thank you. The next question is from Nishu Sood of Deutsche Bank, your line is open.
Nishu Sood: I wanted to ask about the resilient flooring division. The go-to-market expenses and the higher SG&A costs that are associated with that. That's something you've talked about pretty clearly from the time that the businesses were intended to be separated. It's seen a real acceleration though just in terms of the pace, you know the $14 million drag compares to $7 million or $8 million in the last couple of quarters. So just wanted to get a sense of the flow of that, what has driven that and how should we expect that to carry forward as we head into '16?
Dave Schulz: Thanks Nishu. And in fact I think you saw a lot of the investments at the recent Surpluses [ph] tradeshow as we toured the booth. You know stepping back on our Q4 results, you know our volume on the resilient business and mix gains were just partially offset by price declines leading to the 4% increase sales, in particular we really saw strong sales in the residential tile and the LVT segment which are key strategically to us. Our EBITDA was down as our SG&A investments exceeded our product mix gains. And this was really driven on a number of areas, but significant investments in our go-to-market initiatives, to really restore a presence at retail and on the manufacturing side of our input cost we’re offset by the startup cost related to the LVT plan. So like to share a lot more with you on March 10, but that's really what happened in the quarter.
Operator: Thank you and the next question is from Keith Hughes of Suntrust, your line is open.
Keith Hughes: Kind of building on that last question on SG&A within resilient, that encounterment characterized earlier in the year of spending for 2015 and that would kind of fall away. Is that still the view that at least some of the spending will not be repeated in 2016? 
Dave Schulz: Again Keith would like to hold off until March 10, but in general terms some of that spending will continue on, we're encouraged by the growth and the strategy that we've got put in place and where it makes sense to do that. On the LVT plant startup, we will continue to ramp that plan up over the course of 2016 and so that will continue to have additional costs associated with it. We see really the LVT plant having meaningful impact on our EBITDA performance as we exit 2016.
Operator: Thank you the next question is from Stephen Kim of Barclays, your line is open.
John Cleo: Hi guys, its John Coyle filling in for Steve. Just want to stay on resilient, in the slide deck you indicated that you saw like a 3% decline in price mix, with mix actually being up. So with price down mid-single digits in the category can you talk about maybe specifically what resilient flooring types are the most pricing pressure. And was this just broad based or was it specific to one competitor that may be trying to regain market share that they lost earlier in the year, thanks.
Matt Espe: John, I don't think we disclose down to that segment level, I could tell you that where we are really focusing our energies are n driving our LVT product that is where the market is seeing the most growth opportunities and it's also where we're seeing a nice mix improvement in our products and some of our more traditional and longer legacy lines are where we're seeing the pressure.
Operator: Thank you. The next question is from Michael Rehaut with JPMorgan. Your line is now open.
Jason Marcus: Good morning it’s Jason Marcus in for Mike. My question is around WAVE. So WAVE starts of pretty strong increase in earnings in the quarter and the margins have stranded pretty nicely. Just wanted to see if you can talk a little bit more about the trends that you're seeing there in terms of grid pricing and what the main drivers to margin expansion were in WAVE and how you're thinking about that going into 2016?
Unidentified Company Representative: Yes, there was two major drivers of the increase in WAVE and the margins and also the EBITDA generations. One was an acquisition, it was a small tuck-in acquisition that the WAVE joint venture get, it's a backward integration of supplier to one of our components that added some nice meaningful EBITDA and marginal growth and then as you know lower steel prices in the industry contributed as well as those spread through the P&L, those are really the two big drivers of the fourth quarter comparison over the first quarter. 
Operator: Thank you. The next question is from George Staphos with Bank of America. Your line is now open.
Alex Wong: Hi it’s actually Alex Wong standing in for George. In ceilings, recent capacity additions have been announced in North America recently, have you had any conversations with your distributors given the strong attachment rate nature of the industry and then related to that does this present any hurdles for the price mix level than has been a nice source of earnings in recent periods?
Vic Grizzle: So, let me re-characterized. The announcement around the investment of capacity by one of our competitors in the market place, I've talked about this in a little bit on the last call but just again to reframe the investment is relatively a small investment in the overall capacity of the U.S. market and somewhere in the neighborhood of 3% to 5% once the capacity is fully utilized. So I think that's an important contextual understanding that have about the investment, but with any new competitor or entering into the market place, we at Armstrong are taken it very serious and we are trading the competitive threat as an opportunity for us to extenuate the features and benefits of our products and our capabilities versus this new competitor and so we continue to be very effective at that and we're going to continue that going forward as well.
Operator: Thank you. The next question is from Will Randow with Citigroup. Your line is now open.
Will Randow: I was just curious on two points, one is it appears like there might have been under investment in the flooring business and potentially the ceiling business. I know, you think, you don't losing shares but do you think there is a secular shift in ceilings, I hope not but could you characterized a little bit better in terms of volume growth and what you’re doing to make sure that the ceiling business continues to grow with the market?
Vic Grizzle: Let me go first
Matt Espe: Yes.
Vic Grizzle: Well, let me just be very direct, we don't see a secular shift in the ceilings business and as a way to explain why the repair and renovation part of the market is not rebounded like everybody expected. So we've done lots of market research and testing to evaluate this point and at this point our data doesn't point to any secular shift or our structural change in the industry. So, I wanted to be very clear and direct on that and the other part of your question?
Matt Espe: Yes, I think maybe just a quick comment on the deferral some of the investments in the foreign business. Since I was done on my watch, let me take that one. We made cautious decisions with the generally weak overall macro environment the last three or five years. To differ stern investments in the flooring business and so we did that in anticipation of a volume recovery with a broader strike in the market place. That recovery didn’t occurs as robustly as we anticipated and I think we're far from being alone in that outlook. But last year under Don's leadership we went to the board and asked for a fairly significant investment in the go-to-market structure and collateral around the go-to-market structure for primarily our small independent retailers in the form of displays, new displays, new designs with the displays and I think we were regularly updated everybody last year, and we’ve set some 5,000 new displays in 2015 and so consider a significant refresh of that part of our business in that investment and I would say that the business is to beginning the see some return on those it's early days, so we certainly expect that to continue in 2016. So I would consider that a significant catch up, at least that portion of the investment with significant catch up on expenses that we deferred over the last three to five years. And Don, do you want to add anything in that?
Don Maier: No, I feel the color, I think you hit right in -- right down the center of the fairway, we're really pleased with the progress we've made on rejuvenating our retail business as Matt articulated we've a very focused and integrated effort in creating consumer demand, better supporting our retailers and our distribution partners to that regard. And I’d say their feedback and the results we’re beginning to see frankly are exceeding our expectations at this time. Obviously, we have a lot more work to do, but encouraged by what we’ve seen thus far.
Operator: Thank you. And the next question is from Jim Barrett of CL King. Your line is open.
Jim Barrett: Don as it relates to the 5,000 new displays at retail, can you give us some sense as to the installation as to what percentage would be the independent volume is now being served by these displays and even directionally what level of sales pick up would you expect to justify the time and the investment in there?
Don Maier: I’ll give you a little bit of color, and I am not probably going to share all of the details. But I think what we discussed in Q3 was that we plan to have all 5,000 of our LVT displays deployed by the end of the year and we got that completed in the fourth quarter. That’s being synchronized with the launch of our new Vivero LVT product. And so having these displays in place, we’ve seen a nice increase in our existing product sales, and we really look forward to that propelling our new Vivero line. It's frankly just a little bit too early to give you any sort of read on that at this point in time. But sufficed to say we’re pleased with our investments here and continue to have significant demand and pull from our retailers and distributors.
Operator: Thank you. And the next question is from Brandon Rollé of Longbow Research. Your line is open.
Brandon Rollé: This is Brandon Rollé on for David MacGregor. I had one question relating to the market share trends in hardwood. Could you update us on your share trends on hardwood throughout the year for 2015? Thank you.
Dave Schulz: It's Dave Schulz. So just in terms of our overall share position, obviously on engineered wood we saw sizeable growth in that market opportunity. Unfortunately we were not able to service the market completely and so we do believe that we did have some share leakage on the engineered side. We do have a leading position on the solid wood side of the business. We did see considerable volume growth complete in the fourth quarter as it relates to solid wood. Again, we’re willing to give up some of the volume at the lower end of that business in order to focus on the higher end to mix up our overall sales and impact of the margin.
Operator: Thank you. And the next question is from Justin Bergner of Gabelli & Company. Your line is open.
Justin Bergner: I was curious in regards to the earlier comment about some of the tailwind from input costs not continuing or potentially becoming a headwind into 2016. Is there any clarity you can provide us in terms of how much of the headwind we might expect versus the positive $68 million contribution from lower input cost to your EBITDA bridge in 2015 versus 2014?
Don Maier: Being able to project what the wood prices are going to do is very difficult. But I would say that we feel like we’ve seen those prices stabilize a bit on versus what we’ve seen in the past several years. And while we’re seeing I would say normal course of business pricing pressure in the market, over the long term, we tend to see the swing that we’ve seen in input cost drive pressure on the pricing. We’re going to continue really to focus on pricing discipline and as we need to we’ll respond to stay competitive in the marketplace. The piece I think I had mentioned earlier was I think the model, a continuation of the trend that we saw in 2015 would probably be aggressive.
Operator: Thank you. And the next question is from Ken Zener of KeyBanc. Your line is open.
Ken Zener: Just thinking back two years ago, when you guys had your last Analyst Day. Matt, Dave, I think you guys talked about housing recovery at that point and then there was stimulating the channel. At that point, you guys started talking about seasonality in the business. So, in regards to Americas and ceiling, I mean, are you guys seeing normal seasonal sequential trends in that business in terms of what your dealers are talking about? Just so we can put that the growth rate in a little better cadence quarter-to-quarter. Thank you.
Matt Espe: So Ken I think there is two parts to the question, one is the seasonality of the business. And I can say that we’re not seeing any difference really in the seasonality of the business from quarter-to-quarter, or anything in the construction cycle that is shifting or moving around. As far as the overall demand and the fundamentals that are driving the demand in the marketplace, those fundamentals are still, I would say uneven and choppy which is driving a very uneven recovery as we’ve talked about, both on the new side as well as the R&R side. The new side as we’ve talked about is pretty robust on the office side. But on the healthcare and education we’re not seeing as robust the fundamentals driving demand there and similar in the R&R there is lacking fundamentals that are keeping that from being a very robust part of the overall market demand. So I would say again there is -- we're still you know experiencing the choppiness and an unevenness across the US in terms of the recovery in both the new segment as well the R&R segment.
Operator: Thank you, and the next question is from Scott Rednor of Zelman and Associates, your line is open.
Scott Rednor: Hi, just one quick follow up on ceilings growth to the 9 million of EBITDA improvement for all of 2015. How much of that was Americas and with the actions you announced today should the international results begin to contribute more meaningfully next year?
Matt Espe: Yes, the majority of that was the Americas, clearly and then the actions that we are taking to address the lower market expectations for both Europe and Asia should and I expect them fully to contribute to EBITDA and margin generation in 2016.
Operator: Thank you, and the next question is from --.
Dave Schulz: Just to make sure that we provide you with the right information on that, we saw continuation of some of the EBITDA issues we've had in the international markets so I would say that the growth in the Americas was offset then by some of the losses that we had in our international markets and as Vic mentioned we've taken some specific actions to address that in Q4 of 2015 but I did want to clarify that so when you take a look at the year over year increase you know our ceilings division it's the Americas offset by the international markets at this point.
Operator: Thank you, and the next question is from Stephen Kim of Barclays, your line is open.
Stephen Kim: Hey guys, just wanted to follow up, I mean following the plant closure in China in ceilings, the end at that regions probably been the most invested in here over the last five years for a long term growth initiative. Has your long term view on the region changed any, I mean obviously your view for the next 12 months is pretty clear, but how are you thinking about China looking out over the next five years, relevant to maybe where you were three-four years ago when a lot of these investments were being made.
Dave Schulz: If I could real quickly like maybe clarify and hand it over to Vic to give you our views, but Stephen we didn't say we were closing the plant, we're idling the plant which is significantly different in terms of how you manage the plant. So there'll be a maintenance presence, the plant will be able to come up and on line in relatively short order when demand returns. So I'm glad you asked the question, we're not closing it by any means, we're just idling it and sort of until we see the market recovery.
Vic Grizzle: And I think that's indicative of how we think about the regions frankly, so really if you take a look back or step and look at the entire region we actually had double digit growth in all the other parts of Asia Pacific region in the fourth quarter. So China continues to be the tough spot for us. We did build these plants in China to support our Asia business, they're not just China only plants, but the -- you know the recession and the retreat in the office segment in particular in China has giving us pause and given us the opportunity to idle the plant, to save cost in the meantime. You saw the market does comeback so we do expect it’s to come back, this market still has tremendous potential in it as they adopt the acoustical solution for education and healthcare, we still believe that they will be adopting this technology and there's no disruptive technology out there to replace this so. Longer term we're still optimistic about this market.
Operator: Thank you the next question is from Keith Hughes of Suntrust, your line is open.
Keith Hughes: Thank you, on apples spending reported in the K [ph] came down about $50 something million in '15 versus '14. At least directionally would that be for the two units, is that going to continue to trend down in '16 and '17.
Dave Schulz: Hey Keith, it's Dave Schulz. So we're not going to provide that guidance, we'll wait until the March 10th, our meeting, where we'll provide you with more specifics about our capital plans for 2016. You know it is -- you'll be able to see this in the 10K but the reduction in capital spend in 2015 versus 2014 was about the same across both businesses and again that's the capital spending that we had on the ceilings business in Russia and then obviously we had some spending in the flooring business including the first stages of the Project Boltor at the LVT plant.
Operator: Thank you, and the last question comes from Justin Bergner of Gabelli and Company, your line is open.
Justin Bergner: Thank you for taking my follow up. In regards to the asset backed facility for Armstrong flooring why did you opt to go with an asset backed facility versus standard revolver?
Dave Schulz: Hi, it's Dave Schulz again, so we looked at various financing options for an independent Armstrong flooring business and we felt that the asset backed loan given the effective collateral we have on the flooring business was a cheaper way for us to go, so that will be a $225 million revolver that will be an asset backed revolver.
Matt Espe: Thank you very much for your interest and support in the past five and half years and I just wanted to say that being the CEO of this company has been pleasuring privilege. I look forward to watching both Don and Vic lead both of their businesses forward the months and years to come. So thank you very much. 